Operator: Greetings. Welcome to the Park Lawn Corporation Yearend 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Jennifer Hay, Chief Strategy Officer and General Counsel at Park Lawn. You may begin.
Jennifer Hay: Thank you, Holly, and good morning, everybody. Thank you for joining us on today's 2023 fourth quarter earnings call. Before we begin our prepared commentary on the quarter, please note that you can find a detailed breakdown of our 2023 fourth quarter results in our financial statements and MD&A, which are available on our website and on Sedarplus. Today's call is being recorded, and a replay will be available after the call. Please be aware that certain information discussed today is forward-looking in nature. Any such information is subject to risks, uncertainties and assumptions, which could cause actual results to differ materially. Please see our public filings for more information regarding these forward-looking statements. During the call today, we will reference non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our public filings for additional information regarding our non-IFRS financial measures, including for reconciliations to the nearest IFRS measures. I will now hand the call over to Park Lawn's CEO, Brad Green, to open our discussion today.
Brad Green: Thank you, Jennifer, and good morning, everyone. In addition to Jennifer, with me on the call today is our CFO, Dan Millett. I would like to start this morning by providing a brief overview of the 2023 fiscal year, then Dan will provide some additional details around our performance in the quarter and finally, I will finish with our 2024 financial outlook and what we expect to see over the coming year. This past year was a transformational year for Park Lawn. As we proceeded through the year working on various projects, the impact of everything coming together in the fourth quarter was probably even a bit of a surprise to the management team. While our attempt at a large and unfortunately well-publicized acquisition was unsuccessful, the insight gained by the organization in that process was highly valuable and even with that going on in the background, we identified and closed on seven new businesses in line with our growth strategy, which included adding two new geographical markets, Iowa and Nebraska. More significantly, we divested 83 legacy businesses, which did not naturally align with Park Lawn's portfolio or its continuing growth strategy. While this approximately $125 million of transaction activity included a large divestiture component, make no mistake, those divestitures will have a meaningful impact on Park Lawn moving forward. Additionally, during the year, we also restructured our sales leadership to decrease the geographic span of control and increased the ability to have a real local impact. That, along with an updated compensation plan, puts us in a position to take advantage of every opportunity available, even during this depressed mortality period. Finally, we were able to refine our benchmark operating model based in large part on reliable, granular operating data from facts that had simply not existed in the past. With tools like monthly scorecards, benchmark achievement plans, daily contract status reports, discount cremation analysis, just to name a few, we're entering 2024 with a higher level of visibility in our operations and sales than we have ever had. Subsequent to year end, we continue to execute on our acquisition strategy, acquiring two new funeral homes and one cemetery on the western slope of Colorado. We are excited to have the Crippin family join Park Lawn and although the capital environment has been difficult over the past year, we believe that continuing to acquire premier operators that can be quickly integrated will provide near-term EPS secretion and longer-term value to the company. With that, I will turn the call over to Dan, who will provide details regarding our fourth quarter results.
Daniel Millett: Thank you, Brad, and good morning, everyone. My comments this morning will focus primarily on our operating results from the fourth quarter 2023 relative to Q4 2022. As a quick reminder, although the legacy dispositions occurred at the very end of 2023, they do not constitute part of our comparable operations. For the fourth quarter, we saw revenue increase approximately $1.9 million as acquired operations continued to contribute to Park Lawn's positive growth. However, with mortality again decreasing year-over-year and significant large group sales occurring in Q4 2022, which did not occur to the same magnitude in this quarter, revenue from our comparable operations and disposed businesses was down approximately 5%. Although revenue from comparable businesses and disposed businesses was down 5% year-over-year, with a continued focus on operations outside of the COVID environment, our field margins improved and increased 140 basis points. Increases in average revenue per call and improved management of operating costs, such as labor, helped contribute to the margin growth, especially within our funeral businesses. On the cemetery side, while there is correlation between our pre-needs cemetery sales and at-needs cemetery sales and mortality, a significant driver of the decrease in revenue from comparable operations was due to a decrease in large group sales that occurred principally in our northeast region. As we've communicated numerous times in the past, these sales are highly variable and are not consistent year-over-year and quarter-over-quarter. While we have the utmost confidence in their continued presence within our northeast businesses, this year displayed some highly exceptional circumstances alongside another year of exceptional sales. Our funeral businesses performed in line with our expectations during the quarter, with our continued focus on providing our families the highest level of service, as well as with moderate pricing adjustments for inflationary pressures in select markets, the average revenue per call on funeral contracts from comparable operations increased approximately 1% and I've seen averages increase in the second half of 2022 and throughout 2023. This increase, along with continued focus on cost management, helped us set the 3% decrease in call volume from comparable operations year-over-year. From a corporate perspective, we continue to make investments in our corporate infrastructure, not only to support our recent growth, but also our anticipated future growth. During the year, we made improvements to our processes, structure, and technology to create a more fully integrated platform. While we've begun to see the benefit of this work as corporate costs have decreased quarter-over-quarter, we do believe there are some puts and takes in 2024 fiscal year as we move into our new Houston corporate office, ultimately resulting in subtle improvements in cost relative to the Q4 run rate. Turning to the balance sheet, at December 31, 2023, we had approximately $146 million standing on our credit facility, following the disposition of certain legacy businesses and the utilization of the proceeds to pay down debt. In addition to the credit facility at December 31, we had other debt of approximately $15 million, finance leases of approximately $15 million, and cash on hand of approximately $17.7 million. Excluding the ventures, our net debt was approximately $158.3 million at December 31, 2023. Also, as at December 31, 2023, our leverage ratio was approximately 1.95 times based on the terms of our credit facility, and approximately 2.75 times including our outstanding debentures. This continues to provide us ample liquidity to continue our growth initiatives. The fourth quarter was extremely active due to the disposition of the legacy businesses and accounting loss on sale, which resulted in net earnings for the quarter relative to Q4 2022. The net loss for the fourth quarter was $19.3 million, compared to net earnings of $5.3 million in Q4 2022. Although we experienced a significant accounting loss on the sale of legacy businesses, we firmly believe that this disposition is in the best interest of Park Lawn and its stakeholders for the long term. While it was a very tough decision overall, these businesses did not align with the broader Park Lawn portfolio and by disposing of these businesses at a relatively high valuation of approximately eight times EBITDA, repaying a significant amount of outstanding debt during a time of historically high interest rates, and doing so with minor dilution to the company's earnings per share, we believe we are serving our stakeholders not only well in the near term, but also in the long term. Adjusting primarily for the impact of that disposition, adjusted net earnings for the fourth quarter increased year-over-year. It was approximately $8.7 million or $0.247 per share compared to $8.3 million or $0.239 per share in Q4 2022. Net earnings and adjusted net earnings were also impacted during the quarter primarily due to increases in interest rates and borrowings in 2023, as well as certain tax playing initiatives deferring taxable gains associated with capital structuring. I'll now turn the call back to Brad to talk about our 2024 outlook and closing comments.
Brad Green: Thanks, Dan. In conjunction with our Q4 reporting, we have announced the withdrawal of our 2026 aspirational growth targets. Our decision comes following the divestiture of 83 legacy businesses resulting in the disposition of roughly 17% of our total revenue. That divestiture, when coupled with several years of stubborn inflation and declining mortality, along with the recent interest rate hike, made the decision to withdraw the growth targets an easy one. While we don't believe our former targets make sense for the organization in today's current environment, I want to make clear that we don't view our overall mission and vision any differently. Park Lawn is still an operating company that goes through acquisition, and we will continue to do so moving forward. So rather than long-term targets, we believe that annual guidance will enhance transparency around our financial expectations and strategic direction in the near term for our investors, shareholders and stakeholders. Therefore, beginning this quarter, we've decided to publish annual adjusted EBITDA and adjusted EPS guidance with an adjusted EBITDA range of $70 million to $80 million and an adjusted EPS between $0.80 and $0.90 per share. These ranges consider multiple scenarios, including the potential for acquisition activity to move results up in the range as well as the impact of further pull forward in mortality that could bring results lower in the range. Looking ahead to 2024, while we expect the worst of COVID comparison to be behind us, we do expect it to continue to have an indirect impact through the pull forward effect. We generally expect flat mortality year-over-year, which will likely impact at need cells, both at our funeral home and cemetery businesses, but with that being said, we do expect to see some organic growth primarily being driven by pricing and sales execution. Offsetting some of that growth is a likely reduction in pre-need property sales, which are driven in large part from at need sales. Overall, we expect modest revenue growth from our same-store businesses. We do expect additional growth will also come from our previously acquired businesses as we continue to integrate those businesses into a broader culture and operations of Park Lawn. Continuing to focus on these opportunities will not only help us drive top line growth, but slight margin growth after considering the impact of the legacy disposition. This includes improving market share in the communities these businesses serve, ensuring appropriate pricing relative to competitors and value, and improving operating effectiveness and cost efficiency. As with years past, we are also focused on continuing our growth story through premier acquisitions. With the more expensive capital environment, which we believe will persist through 2024, we've reduced our near term outlook in terms of acquisition spend to a $50 million to $100 million annual average spent. To be clear, there's still significant opportunity for M&A growth. Our pipeline of opportunities has not changed, and we continue to consider various opportunities, both large and small, both in Canada and the United States. The higher interest rate will require us to focus on higher growth operations in markets where we can quickly acquire and integrate, leading to greater earnings per share in a shorter timeframe. Finally, but certainly not least, Park Lawn remains committed to deepening and diversifying the skills and backgrounds of our board of directors. In this regard, Maggie MacDougall was appointed to the board effective yesterday. Ms. MacDougall is the founder of Crescent Capital Partners and previously served as the Vice Chairman, Head of Research at Stifle, where she built and managed a team working directly with small cap organizations. We believe that Ms. MacDougall's deep experience in working with organizations of our size in the Canadian capital market will allow Park Lawn to leverage her expertise as we continue to execute on our strategy moving forward. As I mentioned at the beginning of our call, it has been a very busy year for Park Lawn. We've continued to make improvements in all facets of the business with a focus on the long term, are pleased to provide greater transparency to our stakeholders in the near term, and are excited for the opportunities to improve the sustainability of Park Lawn as a competitor in this industry for many years to come. I'll now turn the call over to Holly for any questions.
Operator: [Operator instructions] Your first question for today is from Martin Landry with Stifel.
Martin Landry: Hi, good morning, guys. Brad, you touched on some of the assumptions you've used for your guidance, but just want to make sure I understood correctly because you went over it rapidly. So is it fair to say that you expect a little bit of pricing power or a little bit of pricing uplift for '24 and flat call volumes for the Funeral segment? Would that be fair?
Brad Green: I think those two assumptions are fair.
Martin Landry: Okay. And then what kind of -- have you, in your EBITDA guidance, are you including unannounced acquisitions in there?
Brad Green: Yes. So it's effectively what we've put here is a range, right? And so we're looking at it. When I went through in the strip, we tried to list out our basic assumptions and you hit on two of those. We're effectively looking at flat call volume with the pull forward that we've been experiencing. And we really do believe this will be certainly a year that's less impacted than years past and we may be getting towards the end of having to talk about this. We do, however, feel like that we're going to see an overall small growth in our same-store based on our ability to operate a little bit better and our ability to price a little bit better and that would be with an offset in our pre-need sales. However, we don't know exactly what's going to happen with the death rate. I think we've all gotten a little bit better than that. So the range is a little wider for maybe it's more significant than we think. We also intend to do acquisitions as we always have across the year, but as you guys know, we don't do acquisitions and they don't come online in January and when they do come online, they can be in the middle of the year, they can be toward all at the end of the year. It's just flowed from one to the other and depending on the size of them, they could be immediately accretive or it could take us a little bit. So we put this range in place because we're not exactly sure when the acquisitions will come online and we're not sure exactly what they will impact when they do, but we do know that we're going to make them. So that's why you have that range.
Martin Landry: Okay. And just to follow up on that, is the lower end of the range including -- does that include acquisition as well?
Brad Green: I guess it could. I would assume that if you got into the lower end of the range while making significant acquisitions, you would have to assume that something has happened significantly with the death rate or something fundamentally broken the operations. Right, because hence the range. Everything would have to go wrong on how we were operating the business if we were making acquisitions and ended up in the low -- significant acquisitions and then ended up in the low end of the range. But I guess that's possible. That's why it's a range, but certainly I hope that's not probable.
Martin Landry: And then maybe just last question for me, just trying to understand how consumer behavior is shaping up right now, and I'm wondering if you see a difference in your pre-need sales on lower end price points versus higher end price points. Just trying to understand a little bit if there's a difference in behavior between these two customers?
Brad Green: We don't have the same high -- I would call it high end sale traffic or volume that that you see with some of our other publicly traded competitors. We do have some of that, but where you see the volatility in our numbers is in the bulk sales, but I know what you're getting at. You're asking effectively is what is -- what's happening at the pre-need level with probably the everyday customer and am I seeing that differently between the socioeconomic groups from people may have less or spending less than those who have more and are spending more. And the answer is, there's not really a distinction there. I think we have customers and families that are obviously paying more attention than they might have in a less inflationary environment where the economy was a little better for them, but this is more like it was pre-COVID where our sales folks are just doing what they do. Right. They're pointing out the value of pre-planning in there and we have certain things that would indict our customers to do things in certain markets and they do it. So I don't -- the pre-need impact that we're anticipating is based more on the at need sales in my mind rather than an ability for our sales group to do what we expect of them. So the short answer is no, I'm not seeing anything that we would normally expect in the type of environment we're in right now.
Operator: Your next question is from Irene Nattel with RBC.
Irene Nattel: Thanks and good morning, everyone. Brad you opened the door talking about that. Can you give us a little bit of an idea of particularly as you sit here today now having consolidated the assets in this more challenging environment, what kind of data facts is giving you that's enabling you to make better decisions and drive I guess better efficiency and profitability?
Brad Green: I could start by saying if we didn't have facts in place we wouldn't be giving you guys guidance. So that's probably the biggest way to say it. We've got a level of granularity that we haven't had before in this organization by simply taking and integrating all the different parts and pieces into one ERP and I said in the room I'm sitting in right now not three or four days ago with the senior members of the operational team as they're walking me through reports that every time I look at them get better and better where they're able to click on. I'll just say it the way my lack of high IT self would say it. They're continuing to click on reports and they'll click on sales and they'll keep clicking until the actual contract comes up in which arranger was involved in it. So the level of detail we're getting and the speed that we're getting it at is definitely helping us manage these businesses better and it's given us the ability to, I think, know where we're going for 2024, certainly with the confidence to tell you guys that. So I'm very happy with where fact is right now. Now, it took a little bit to get here and it was a little bumpy and we've definitely got a lot more work to do, but the overall excitement level of what it's done for the organization, I would say across the board, everyone is super happy and looking for them to continue improving it.
Irene Nattel: That's really helpful, thank you and presumably, as you look ahead to M&A, it becomes even more critical when it comes to integrating and analyzing, correct?
Brad Green: Correct, so I'll just even add on to that. With the Crippin acquisition, instead of doing it, I would say the way we've done it since 2018, we went into that acquisition with our benchmark operating model and the specifics that we were looking for and what we would need to do to integrate it more quickly and it was effectively in a bound book and we went over it with the owners and the managers and we have a plan going forward that we would not have necessarily had or couldn't have had without being able to put that historical information in facts and then compare that to our benchmark operating model. So the answer to that question is not only yes, but we've actually already done it with this first acquisition of 2024. And if you were sitting at our board meeting yesterday, you would have heard me say, and our team believes it was extremely effective.
Irene Nattel: That is outstanding, thank you. And then just finally one more from me and that's on M&A. Can you talk about the M&A environment now? Seller willingness, presumably there's less competition for certain types of assets in this environment and sort of the opportunity small versus large.
Brad Green: There's certainly less competition for some of the premier firms and especially if you get into the larger dollar volume, just because some of the people that were being very aggressive in pricing in 2021 and 2022 seem to be a lot less aggressive at SOFR plus 500 basis points. So we are seeing less aggression there. We weren't playing in that game at the time that it was going on. So it really doesn't impact, I think, what we're going to pay. I do believe, however, you're going to see us be more cautious because obviously in a higher interest rate environment, we need to make -- we always make sure that we're buying the right business, but it matters now how quickly can we integrate it? What's the real growth trajectory? We just need to be even more selective than the already super selective we were being and so when we do that, I bumped up in a couple of nice acquisitions that I would say the more educated owners are recognizing that the environment we're in and you're seeing prices reflect that. There are still folks I think out there that wouldn't sell their business unless they got multiples that they were going to see in 2022 and so that just means they're not going to sell their business, but eventually all those things will even out. So yes, less competition, but we weren't jumping into that overly competitive market when it was there. We're just being a lot more -- we were being super cautious before, we're being, is there a double super cautious word? That's what we're doing now.
Operator: Your next question for today is from George Doumet with Scotiabank.
George Doumet: Yeah, good morning guys. Just to follow up to Martin's question, because it's a pretty wide range for the 2024 EBITDA guidance. So is it fair to assume that if we were to deploy the entirety of the M&A spend this year, we would land towards the higher end of the guidance? And I guess conversely, if we spend little to nothing and experience mid-single digit decline in volume, then we should be at the lower end. So anything to help us understand that it's good that it's a pretty wide range.
Brad Green: Yeah, so the range is wider, not because we're not confident where we will fall within a range or because we're being overly cute. It's wider because of exactly what you're talking about. So we could make, yeah, we could deploy that acquisition capital and if I close on everything on June 30, you're going to get a lot different answer than if I close on everything on December 15. Obviously, depending on what time of the year these businesses come in as to when they would impact the EBITDA margin. Also, as you guys will see and probably ask questions on, our bulk sales can impact that throughout the year, but as we get further into the year, we get more clarity on that. Not only would we, I think we're required to update where we think we're going. So the answer to the question is, yeah, George, it could happen that way, but it depends on where these things fall out. I think this is, while you might think it's a wide range, I actually think it is a intellectually honest range to give our stakeholders and shareholders, because it's what we think today. And as we go through the year, we'll probably be able to modify that. But I would also make the argument that if we don't see a decrease, like if we do see a modest increase in the death rate or a lower increase than we're expecting, and our operators do what I think they're capable of doing, and we only own a few small acquisitions, we could definitely be in the higher end of that range. So it just kind of depends on when it happens and that's the best I can do for you. But I will tell you, we're not being overly acute. This is the first time Park Lawn has ever given guidance like this and it was not a -- this was a decision that was talked about for a solid year on the positives and negatives and we felt like this would give the best transparency to our shareholders than giving another long-term guidance that we may, or long-term goals that we may or may not have to pull down.
George Doumet: Okay. It's the first time you guys are doing this. So presumably Brad has heard us assume there's probably a certain level of conservatism in that guide, right?
Brad Green: I know it would be easy to tell you yes, but we really tried to put in there, I know you probably want me to say yes, just to make everybody's life easier. We really tried to give you a range that we're not going to fall out of, right? One way or the other. So I don't think I'm being overly conservative. I think it would be a shock for us to be in the very low end of that range. I think it would be an equal shock for us to bust out of that range. We tried to give you guidance and that's where it is. And hopefully I can tell you much better news as I've seen other companies do as we bounce through the year, because we will then have bulk sales to report, which we're going to break out for the first time individually to you guys. And we will have acquisitions to report and that will give us much more clarity as we go through the year and give us a year or two of doing this and I bet we get a little bit better at it.
George Doumet: Okay. I wanted to ask also about the flat corporate cost guidance. My understanding is that there were some one-time costs last year. So I'm just trying to reconcile that. Is there a higher level of spend somewhere this year in that corporate line item, given kind of a one-time cost last year?
Daniel Millett: Yeah. George, I think the big thing that you'll note is we're moving offices, right? That's going to have an impact on our corporate costs. It's about a million dollar impact there. But I think there's also some initiatives that we have planned that will improve, hopefully improve our operating results at the end of the year, but they may not impact directly in this year. So I think we're still going to see some improvement, especially over our Q4 run rate. I think historically we kind of mentioned Q3 of 2023 was going to kind of be the top and we have seen it pull down a little bit in Q4 and we expect to see a little bit more, again, very subtle with some of the things that we want to do, improvement in 2024. But I think as we've talked in the past, I think historically we mentioned kind of a long-term, a 24-month ability to kind of get down to about 8% of our revenue. That might have been a little bit overly ambitious, to be completely honest with you. But I think as we redeploy the proceeds from the legacy dispositions, we get a lot closer to that 9% of revenue range. And then as we continue to grow, I think being somewhere between 8% and 9% is a pretty good steady state for us.
George Doumet: Thanks for that. Just one last one, if I may. On the balance sheet, it's in better shape than last year. We're spending less on M&A. So I guess, can we expect to perhaps see more buyback activity given where the stock price is?
Daniel Millett: Yeah, George, I don't think that answer has changed from the many times we've spoken about it in the past. I think we're going to continue to be opportunistic in terms of doing buybacks. If the market's going to give us that opportunity, we'll take it. I think in Q4, you saw us very active on our NCIB. We still think there's a dislocation in value, and we're going to try and capitalize it when we see it.
Operator: Your next question for today is from Zachary Evershed with National Bank Financial.
Zachary Evershed: Good morning, everyone. Thanks for taking my questions. I'll start with a quick one. Any change to your comfort level with the balance sheet?
Brad Green: No, no, I think that has, I think we're pretty consistent there, right? I don't have anything more to say than that. Zach, no.
Zachary Evershed: Easy one out of the way. Second question. Could you dive deeper into the details of the restructured sales leadership and compensation plan adjustments you mentioned?
Brad Green: Yeah, so It's a continuation of something we've been very methodical about in I say past 18 months and when we have a new vice president of sales, they came in and was looking at our sales structure from beginning to end and what you don't want to do is take something that's working well and break it. So what we wanted to do is take something that's working well and improve it. So one of the things that we did, which I think was obviously a great idea, we wouldn't have done it, we took the level of VP's of -- regional VP sales positions and crunched them down and created these area VP's in sales roles, which effectively put people in the market? That were able to help other sales folks in the market, the sales managers and counselors kind of at a local level, put them closer down to what's going on, limited their area of control and their focus It's already. We're already seeing the dividends of that on. Our sales plan was a little different. We effectively and this could get real in the weeds, I'll just say it at the high level, we effectively took people off a straight commission basis, put them on a base salary with commission and gave them some of the benefits that you would see from straight-line employees like sick time and vacation time. That's a simplistic way to say it, but what we're looking for Is to basically increase the quality of candidate and employee we have in that position and limit the turnover because that was our highest churn rate in the company. So I would rather pay more and keep the good ones then rotate a bunch of people through that may not have been in the job to begin with. Both of those things and we were very cautious with and methodical about. Both of them were implemented towards the end of last year in the beginning of this year and both of them have been and seamless in their In their application. So that then made me breathe a big sigh of relief. You don't want to change your sales structure and blow it up. That'd be a bad idea. We've actually seen that happen twice in the profession the 20 years. I've been in it. So that's what we did.
Operator: Your next question is from John Zamparo with CIBC.
John Zamparo: Thanks. Good morning. I wanted to come back to the outlook just one more I promise if all of your M&A were to happen in Q4, do you still anticipate you'd be able to reach the low end of the range? Given the M&A you completed in '23 and as well as your organic growth assumptions for '24.
Brad Green: Absolutely unless something goes way wrong, right? Yes and when you say all of the M&A, we're giving you guys and we give you see you guys we give -- we've said that we are targeting $50 million to a $100 million a year in acquisition. Even that number could vary what widely? There could be any number of acquisitions that could -- there could be an acquisition that would be at the top end of that range of a single acquisition. You just never know.
Daniel Millett: And Zach there's also opportunity to for, sorry John, there's opportunity to go outside of that range on the acquisitions too. Like the idea of that acquisition range too is a Kind of a look back range where over a longer period of time that's kind of our average annual expected spend that meaning, it could be $25 million dollars one year and it could be a $150 million in another year and then you kind of look back and that averages out within our range.
John Zamparo: Okay, understood. On the divestiture that you completed, I wonder if you're considering others, are you pretty happy with the footprint you have now or would it take -- would it take a very healthy offer on part of your existing business to consider divesting more?
Brad Green: Yeah, so we're not really considering. That is a very unique set of circumstances that led to the divestiture of those businesses and the best way I could say it is many of the businesses we buy, they're attached to a name, a family, an individual and multiple generations. More than half the time we buy those businesses. They had an offer on the table for more money than we had. So they sold it less. So the concept of being able to sell the businesses to someone else for more money almost starts at the beginning, which is one of the reasons why we see the improvement in the multiples we pay for them versus what we're ultimately able to run them for. So it would be very contrary to the culture, the mindset, how we go about making acquisitions to package acquisitions up and sell them for more money just because they could be sold for more than we paid for them. The businesses that we divested, again, those were largely corporate or largely businesses that had been rolled up by others. They were purchased before this management team got there. They did not got here. They did not meet with the growth trajectory we like to see and they certainly didn't have the margins and other things that no matter how hard I tried, allowed us to be comparable to the other publicly traded companies. There was no explaining that away. So it just made sense to divest them. So that is a long winded answer because I don't want people to think in this more particularly interior to the organization or our acquisition candidates that they that were in the business of selling our businesses were really not. Now look, there could be one or two things that happen over time where something doesn't make sense anymore, but everyone would understand that. So I'm not going to say never, but this is not a -- this is not something you should expect in the future.
John Zamparo: Right. Okay. That's good color. And then two on the M&A front. First, does the upcoming end of the standstill agreement of your largest competitor on the M&A front, does that change the prospects at all for M&A for Park Lawn or do you view that as a non-event?
Brad Green: I view that as a non-event. We are a fraction of the size of that organization. And I don't think people realize it, but I was just looking at some numbers last night that I found kind of humorous. We have 2,200 employees. They have 3,700 sales people. We have 165. So put those three numbers together and it just gives you an idea. They have more sales people than we have total employees, right. Yet, if you look at their acquisition spend last year, it was $72 million and our target was 75 people to 125 people just like there's this. So there's this bohemant of a very successful organization with effectively unlimited access to capital. And since 2018, we've been going head to head with them on acquisitions every time. Right. If they want it, they can go get it if the seller wants to sell to them. It doesn't matter which market we're in. So it doesn't concern me a bit. That's not to imply that that is not a force to be reckoned with. It is a massive force to be reckoned with. But we've been successful in doing it in the markets where we need to and we don't need to make that many acquisitions to be a successful company.
John Zamparo: Okay, fair enough. And then you made a comment, Brad, in your prepared remarks, you referenced the insights that you gained from the large acquisition attempt in '23. Can you elaborate on that and what you consider to be the biggest benefit to that process moving forward?
Brad Green: Let's start. It was this management team's first opportunity to go through something like that and I would consider myself taking out the mix. It's a fairly young management team, or J [ph] and taken out the mix to fairly young management team. When you go through a process like that with the banks, and especially with someone that's a sophisticated partner like Brookfield, you get asked a lot of questions about a lot of things that you're doing that makes you reflect upon whether or not you're doing them the right way, whether you can approve on. So we took that extensive process and we said, well, those are interesting questions and our answers are interesting. And maybe we can improve and improve here and improve there. It actually made its way that line of thinking made its way into our strategic presentation, the board where we were able to actually point out things where we could be better just based on the questions we were asked going through that process. And then had it been successful, the things we would have had to explain to our shareholders. And I'll just sum that up by saying at the time that it is that we stopped. One of the board members who I rely on a lot pointed out as I was lamenting the cost that was associated that pointed out that the management team would have gotten more value out of that than hiring a consulting firm to come in and tell us where we could improve. At the time, it didn't make a whole lot of sense to me and three months later, I think it was the smartest thing you could accept, because it is exactly what happened. It was effectively a review of how we do things by one of the most sophisticated private equity firms in the country.
John Zamparo: Okay, very good. Yeah, okay. I'll leave it there. Thanks very much.
Operator: We have reached the end of the question and answer session and I'll now turn the call over to Brad for closing remarks.
Brad Green: I'd like to once again welcome our new board member Maggie MacDougall to Park Lawn. Thank all for joining us today and I hope everone has a great weekend.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.